Operator: Welcome to the Priceline Group's First Quarter 2011 Conference Call. Priceline would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals and similar expressions reflecting something other than historical fact, are intended to identify forward-looking statements. For a list of factors that could cause Priceline's actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statements at the end of Priceline's earnings press release, as well as Priceline's most recent filings with the Securities and Exchange Commission. Unless required by law, Priceline undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. A copy of Priceline's earnings press release, together with an accompanying financial and statistical supplement, is available in the Investor Relations section of Priceline's website located at www.priceline.com. And now I'd like to introduce the Priceline Group's speakers for this afternoon, Jeff Boyd and Dan Finnegan. Please go ahead, gentlemen.
Jeffery Boyd: Thank you, and welcome to Priceline's first quarter conference call. I'm here with Priceline's CFO, Dan Finnegan. I will make some opening remarks. Dan will give a detailed financial review, and then I will sum up. After the prepared portion, we will take questions. Priceline reported consolidated gross bookings for the first quarter of approximately $4.7 billion, up 57% year-over-year. Non-GAAP net income was $137 million or $2.66 per share, up 57% versus prior year. First quarter results surpassed First Call consensus estimates of $2.46 per share and our guidance for the quarter. Worldwide hotel room night reservations were $31.2 million for the quarter, up 56% year-over-year. Growth rates for our International business increased during the quarter with 78% gross bookings growth on a local-currency basis. Growth rates benefited generally from increased ADRs and from growth at Agoda and the Asian and South American business of Booking.com, which were seasonally strong in Q4 and Q1. International gross bookings also benefited generally from growth in new markets, growth in hotel supply and inclusion of TravelJigsaw results. Booking.com continued to build its worldwide hotel supply platform, with over 135,000 hotels in 101 countries. Booking.com continues to build inventory in sales in Asia, South America and North America, delivering growth in reservations to those destinations and growing demand in those regions for hotels around the world. As those businesses have achieved greater scale, they are contributing to high reported consolidated growth rates. Bookings execution and expanding geographically and building share of online hotel demand has been, in my opinion, exceptional, as underscored by high International growth rates this quarter. Priceline's domestic gross bookings grew 14% in the first quarter due primarily to growth in retail and Opaque hotel room night gross bookings, aided by improved ADRs and the return to growth in airline ticket sales and higher airfares. Solid growth in Opaque airline tickets helped the domestic top and bottom line as airlines use the Opaque channel as a revenue management tool while they increased fares generally. Ticket sales also benefited as American Airlines tickets were unavailable on Expedia and Orbitz for the quarter, but were available on Priceline. Merchant gross bookings growth of 50% continues to reflect growth in the domestic retail and Opaque hotel business, but even more so growing contributions from Agoda and TravelJigsaw. Agoda continues to report impressive year-over-year growth in gross bookings, contributing to the overall International and merchant growth we are reporting. TravelJigsaw delivered solid growth in Rental Car unit sales in the quarter and is building availability as it approaches the high summer season. In summary, the growth in the Group's International hotel business exceeded our forecast in the first quarter and we are pleased with the progress of our brands in Asia-Pacific and other new markets. I commend my colleagues around the world for their focus and execution. I will now turn the call over to Dan for the detailed financial review.
Daniel Finnegan: Thanks, Jeff. I'll discuss some of the highlights in operating results and cash flows for the quarter, and then provide guidance for the second quarter of 2011. Q1 top line performance was exceptional, reflecting acceleration in unit growth rates. Hotel room nights booked grew year-over-year by 56% in the first quarter as compared to 51% in the fourth quarter. Average daily rates or ADRs were up by about 4% for our International hotel service and by about 7% for our U.S. hotel service for Q1 2011 compared to the prior year of first quarter. FX rates for the first quarter were slightly favorable to the rates we assumed in our guidance and for the prior year first quarter FX rates. The strong performance in unit growth and increasing ADRs has caused total gross booking dollars to grow by 57% for Q1 compared to the prior year. Our International gross bookings grew by 79% and by 78% on a local-currency basis for Q1 2011 compared to the prior year. These growth rates exceeded the top end of our guidance range, as our International hotel business delivered outstanding results that exceeded our expectations. The sustained outstanding performance for our International hotel business is a tribute to the hard work and operational excellence of our teams at Booking.com and Agoda. We saw a strong growth rates in our key markets in Q1. Our newer, faster growing markets in Asia-Pacific and South America, which experienced peak seasonal travel in the first and fourth quarters of the year, also contributed to our growth rate. TravelJigsaw, the U.K.-based merchant rental car reservation service we acquired in May 2010, contributed $96 million in gross bookings in Q1. RentalCars days booked were up by 65% versus first quarter 2010, including the impact of TravelJigsaw. Gross bookings growth for our U.S. business of 14% exceeded the top end of our guidance range and also exceeded the 9% growth rate posted in Q4. Strong growth in hotel room nights booked and higher ADRs were key drivers. Airline tickets booked were up by 2% in the quarter, resulting mainly from strong growth in Name Your Own Price airline tickets. The 12% increase in average retail ticket prices also contributed to gross bookings growth. The strong performance in gross bookings helped to drive bottom line performance that exceeded the top end of our range of guidance and First Call consensus. Gross profit was $506 million and grew 59% as compared to prior year. Our International operations generated gross profit of $388 million and grew by 81% as compared to the prior year. Gross profit for our U.S. business amounted to $118 million, which represented 13% growth versus prior year. Total operating expenses came in slightly above the midpoint of our guidance, driven primarily by higher than forecasted online advertising expense, which resulted from gross bookings over-performance. Online advertising expenses, as a percentage of gross profit was slightly favorable to our guidance, but came in higher than the first quarter of 2010. As I mentioned, in February, when we gave guidance for the quarter, each year in the first quarter, we have significant ad spend related to bookings for travel that takes place in subsequent quarters when the related gross profit is recognized. Moreover, our International business, which relies more on online advertising spend, grew faster than our U.S. business. Consequently, we've seen ad spend increase as the percentage of gross profit in Q1, even though we saw a strong ad efficiency for our brands. Personnel expense was lower than forecast for the quarter due to hiring of the slower paced than assumed and lower than forecasted bonus expense. Non-GAAP other expense recorded below operating income in the quarter amounted to $8 million, which is higher than the $5.5 million of expense we assumed in our guidance. The variance relates mainly to more FX hedging and transaction losses than assume for guidance as the euro strengthened after we gave guidance. The strengthening euro had a favorable impact on the translation of our Booking.com results into U.S. dollars. I'd like to take a moment to remind you how our hedging program works. We enter into hedged contracts during the early part of each quarter to hedge against the impact of foreign currency exchange rate volatility on the guidance that we give for non-GAAP EBITDA and net income. The hedges are short-term in nature and do not offset the impact of translation on our gross bookings, revenue and gross profit. This year, the euro strengthened during the quarter after we enter our hedge contracts and we recorded hedge losses as a result. Last year, the euro weakened during the first quarter after we entered our hedge contracts, and we, therefore, recorded gains on the contracts. In the first quarter of 2010, we had non-GAAP other income of $1.4 million compared to the $8 million of expense in Q1 of this year. This year-over-year swing in other expense resulted in EBITDA deleverage. Non-GAAP EBITDA for Q1 amounted to $173 million, which exceeded our guidance range of $147 million to $157 million and represents 55% growth versus prior year. EBITDA leverage or non-GAAP EBITDA expressed as a percentage of gross profit, declined by 70 basis points in the quarter versus prior year Q1. In terms of cash flow, we generated approximately $276 million of cash from operations during first quarter of 2011, which represents a 164% increase versus prior year. Operating cash flow for the quarter was favorably impacted by the timing of approximately $124 million of withholding tax payments, which were accrued in the first quarter and paid in the second quarter. We spent about $8 million on CapEx in the quarter and paid about $62.6 million in the quarter, representing the year on that amount to be base upon the performance of our Agoda business since we acquired it in 2007. We repurchased approximately $157 million of our common stock during the quarter. As of March 31, our cash and investments of $1.7 billion exceed our outstanding debt balance by about $1.2 billion. We also have our $175 million revolving credit facility that is undrawn and doesn't expire until September 2012. Now for second quarter 2011 guidance. Our forecast reflects exceptional top line performance, driven primarily by the continued strength of our worldwide hotel room reservation business, as well as the inclusion of TravelJigsaw. I'll highlight that we bought TravelJigsaw in May 2010, and therefore, in Q2 2011, it is now starting to appear in our prior year comparable results from the date of acquisition. Our forecast also assumes that exchange rates remain at the same $1.48 per euro and $1.65 per British pound as yesterday's closing rates. At earlier, these exchange rates, our euro and pound denominated results will be substantially higher expressed in U.S. dollars than they would've been at the prior year average exchange rates. Specifically, average exchange rates for the second quarter of 2011 would be stronger by 16% for the euro and by 10% for the British pound as compared to the prior year. As I mentioned earlier, our hedge contracts are in place to substantially shield our second quarter EBITDA and net earnings for many fluctuation in the euro or pound between now and the end of the quarter. But these hedges do not offset the impact of translation on our gross bookings, revenue and gross profit. We are forecasting total gross bookings to grow by 53% to 58%, with U.S. gross bookings growing by approximately 8% to 13%. We expect International gross bookings expressed in U.S. dollars to grow by 76% to 81% as compared to last year and to grow on a local-currency basis by approximately 53% to 58%. Our second quarter guidance assumes that the rate of year-over-year increase for ADRs will be less than the increase we experienced in Q1, for both our International and U.S. hotel services. We expect the Q2 revenue to grow year-over-year by approximately 36% to 41%, and gross profit dollars to grow by approximately 57% to 62%. For Q2 operating expenses, we are targeting consolidated advertising expenses of approximately $233 million to $243 million, with about $10 million of that amount being spent for off-line advertising. Online advertising expense as a percentage of gross profit is assumed to increase compared with the prior year Q2. The increase is driven principally by brand mix rather than a change in the fundamental efficiency of our online advertising by brand. Our International brands are growing substantially in Q2 and spend the higher percentage of gross profit on online advertising than our U.S. business. We expect sales and marketing expense of between $36 million and $41 million. We expect personnel costs, excluding stock-based compensation, to come in between $75 million and $80 million. We expect G&A expenses of approximately $26 million to $31 million. We expect information technology costs of about $8 million, and depreciation and amortization expense, excluding acquisition amortization, of about $5 million. We expect total non-GAAP other income expense recorded below operating income to amount to expense of approximately $9 million for Q2 2011 compared to income of about $2 million in Q2 2010. The other income expense is comprised primarily of foreign exchange losses, net interest expense and the charge for net income allocated to noncontrolling interests. Non-GAAP, other income expense excludes noncash interest expense and gains or losses on early debt extinguishment, if any, related to cash settled convertible debt and includes the additional impact of other non-GAAP adjustments on net income attributable to noncontrolling interests. Non-GAAP EBITDA is expected to range between $310 million and $320 million, which at the midpoint represents 54% growth versus prior year. Our guidance assumes that we will experience EBITDA deleverage close principally by the $11 million negative year-over-year variance in other income and expense. We are targeting non-GAAP fully diluted EPS of approximately $4.70 to $4.90 per share, which at the midpoint, represents 56% growth over prior year. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 20%, comprised of International income taxes and alternative minimum tax and state income taxes in the U.S., where we have a sizable NOL to reduce our cash tax liability. Our non-GAAP tax rate has generally been increasing as compared to prior year periods, due to more significant growth in International earnings as compared to U.S. earnings. Our non-GAAP EPS guidance assumes a fully diluted share count of 51.7 million shares based upon Wednesday's closing stock price of $537.56. We expect to report GAAP EPS of $4.03 to $4.23 per share for Q2. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments to exclude stock-based compensation, acquisition-related amortization, noncash interest expense for amortization of debt discount, noncash gains or losses related to early debt conversions, certain noncash income tax expenses, and to include the impact on net income attributable to noncontrolling interests of certain of the aforementioned non-GAAP adjustments to arrive at non-GAAP earnings. We also intend to adjust non-GAAP results to exclude charges or benefits, if any, related to hotel margin tax, judgments, rulings or settlements. We are very pleased with the top line performance of the business delivered in Q1 and inherent in the guidance for Q2. However, as we have emphasized on previous earnings releases, we believe it is highly likely that we will experience sequential deceleration in quarterly, year-on-year unit growth rates in the future due to the sheer size of the business and progressively more difficult comps as we report against prior year periods, which had improving economic conditions, hotel occupancy rates and ADRs. Our Q2 guidance reflects deceleration in the unit growth rate per hotel room night reservations based upon actual results to date and assume deceleration as we proceed throughout the remainder of the quarter. Our guidance also assumes that macro economic conditions in general and conditions in the consumer travel market in particular, remain relatively unchanged. I'll now turn the call back over to Jeff for some closing comments.
Jeffery Boyd: Thanks, Dan. We believe the Priceline Group is off to a good start in 2011. Each of our brands delivered high rates of growth compared to the competition, and are, I believe, well-positioned to compete going forward. We will now take your questions.
Operator: [Operator Instructions] Our first question comes from Mark Mahaney of Citigroup.
Mark Mahaney - Citigroup Inc: I want to ask a question about the EBITDA leverage and the margins going forward. Do you think that there's a long-term, say, the next 2 to 3 years change in the pattern you've had of rising EBITDA as a percentage of gross profit dollars? Is there something that's changed structurally in the business that would deter that trend or you feel like you're close to a capping out of how high those margins can get to?
Jeffery Boyd: Mark, I think that we've said a couple of things about this in the last couple of calls. The first is, that we are in a period of some investment here in the last couple of quarters, which is why we haven't been delivering increased leverage across the consolidated income statement. Part of that is at Booking.com, who's building out the International platform to accommodate the high growth rates they've experienced, but also, we have Agoda and TravelJigsaw that are at earlier stages of their development and also requiring investment. I would not take the position that we don't foresee the possibility of earnings leverage going forward. What you're seeing now, really, reflects our judgment in terms of how to manage the business to make sure we're investing to capture the opportunity, especially in these rapidly growing markets in Asia and elsewhere, where we're still relatively new entrant.
Operator: Our next question comes from Ingrid Chung of Goldman Sachs.
Ingrid Chung - Goldman Sachs Group Inc.: I know that you don't talk specifically about what your market share is in specific markets, but you've obviously gained a lot of share in Europe over the last few years. I was wondering if you think that there's much more headroom for market share gains in Europe for Booking.com.
Jeffery Boyd: We absolutely believe there is. If you look at our total International hotel business as a percentage of all of the hotel rooms booked, it's still very, very small, and I don't have a percentage to quote for you. But in terms of market share of all the hotel room nights booked, it's very, very small, and I think we certainly believe that there is still a very substantial amount of business that is coming from off-line channels in the European market and in the well-developed Western European markets, and we think we are in a good position to gain share of that.
Ingrid Chung - Goldman Sachs Group Inc.: Okay. And in terms of share of online, do you think there's much more headroom in terms of online hotel bookings in Europe?
Jeffery Boyd: We don't particularly look at what's been going on in our marketplace as a share shift gain yet. We just don't. Our principal effort is to bring new hotels on. You saw the significant increase in hotel count for Booking.com in the quarter and certainly year-over-year, so we're not viewing this as a share shift situation. And if you look at the results that have been reported by our competition, it appears to us that they are also gaining share by penetrating that off-line channel.
Operator: Our next question comes from Ross Sandler of RBC Capital Markets
Ross Sandler - RBC Capital Markets, LLC: Just 2 quick questions. You mentioned in the part about the guidance that you're seeing a little bit of unit growth deceleration early in the quarter, and your 53% to 58% guidance x FX or bookings growth guidance x FX implies a little bit more of deceleration than what we've seen previously. Is this just conservatism or is there any more color you can provide on what you're seeing? And then second question is, you mentioned on the online marketing that you're doing a little bit more brand promotion versus seeing different levels of efficiency. Can you just explain what you meant by that?
Jeffery Boyd: Ross, I'll do the first one and Dan can address the second one. With respect to the growth deceleration, I think the principal thing that happened here and we would encourage investors to look at this more over a longer period of time just from one quarter to another is, we basically had a spike in the growth rate in the first quarter, a little bit off trend to what we were reporting at the end of last year. And if you look at the growth rates over 2 or 3 or 4 quarters, it's actually a much more steady, and in our view, relatively modest deceleration of what's a pretty large business. Dan, do you want to comment on the online marketing?
Daniel Finnegan: In online marketing, Ross, our biggest spend is for Pay-Per-Click. Nothing has changed there. So what I was referring to was that we have a little bit of an increase in our online advertising as our percentage of gross profit on a consolidated basis just because our international brands are growing so fast and they spend a proportionately larger amount on online advertising, partly because they're growing so fast and they're bringing new customers into the website. And then secondly, because they're not doing any off-line advertising like we do in the U.S.
Operator: Our next question comes from Justin Post of Bank of America.
Justin Post - BofA Merrill Lynch: Getting back to the bookings deceleration, to go from kind of high 70s to mid-50s this quarter, anything abnormal outside of TravelJigsaw, maybe you could explain me the impact of that. And it was an easy comp against last year's volcano, so when we think about the quarters, the third quarter and fourth quarter, do you foresee kind of similar declines or do think this is kind of the new stable level and kind of the 50s as you look out to the back half?
Jeffery Boyd: Well, we're not giving any guidance beyond the guidance we've given for the second quarter. And our overall guidance to investors is that we will see continued deceleration of the growth rate for this business. So I wouldn't want anybody to think that somehow we're walking away from that general premise. Again, I think that if you look at -- there is lot of -- in every quarter, there are a lot of things that are outside the business that affect our growth rate. And so if you'll try to look at sequential growth rates from quarter-to-quarter, I think it's very easy to get a mistake and impression about what the long-term trend is. And if you look at hotel room night growth, local currency growth over the last 3, 4, 5 quarters, it's been occurring within a reasonably tight range. And as I said previously, I think that the first quarter growth rate is a little bit off trend and that it's a much better way to look at it, to look at it over a longer period of time. One thing that we pointed out in our prepared remarks is, that we do have our bigger business in Asia and in South America where the seasonality is a little bit different. And those businesses have grown at higher rates than the rest of our businesses and so the first quarter growth rate could be benefiting from the positive results in those markets and from the different seasonality where they just have a stronger results in the fourth and first quarter, whereas our North American, Western European and U.S. business, the strongest seasonality is in the second and third quarters.
Operator: Our next question comes from Sandeep Aggarwal of Carries & Co.
Sandeep Aggarwal - Caris & Company: Jeff, can you maybe separate out for us how much growth was a contribution of American Airlines inventory [ph] that they belong in pipeline versus your competitor? And then in terms of -- are there further earn-out you are budgeting for Agoda?
Jeffery Boyd: Okay. So for the first part, I can't give you an exact figure of the benefit to Priceline's U.S. airline ticket business from the absence of American on the other websites, but we do think that the business benefited and we did see that in our results for the quarter. There are no further earn-outs for the folks at Agoda. They are subject to normal performance compensation plans like everybody else at the group.
Operator: Our next question comes from Heath Terry of Canaccord.
Heath Terry - Canaccord Genuity: I was wondering if you could give us a sense of what you're seeing in the competitive environment within Asia. I know you generally kind of draw a distinction between China and Asia specifically, but if you could give us an idea of kind of where Agoda is building, you think, the most significant competitive advantages and where you feel like your hotel count penetration is versus your competitors, that would be particularly helpful.
Jeffery Boyd: I think, Heath, if you look at the business in Asia Pacific, you have to look at not just the Agoda business, but the Booking.com business. And I think both brands are doing very well in Asia outside of China, Thailand, Singapore, for example. I think Malaysia. I think both brands are working hard to build a presence in Australia and New Zealand. There's a very strong competitor in that market in Wotif, and we're working hard to gain ground on Wotif. With respect to the Asian market in general, Ctrip is obviously one of the biggest players there. We've heard Expedia say some positive things about eLong and that eLong is now mostly focused on the hotel opportunity. From what we read in Expedia's announcement, it looks to us that their primary emphasis in the hotel space in Asia is going to be hotels.com because the Expedia brand and a lot of those markets is now going to be operated through a joint venture with a low-cost airline. So there's a lot of companies in the space, but there is also rapidly growing market and a lot of running room there. And we are focused on all of it. We are building hotel inventory in China and making some headway there, but the large majority of our business is outside of China.
Operator: Our next question comes from Scott Devitt of Morgan Stanley.
Scott Devitt - Morgan Stanley: Jeff, you launched the Pay As You Stay hotel option in the U.S. I think a year ago and I'm just wondering if you could talk about the percent of your U.S. hotel inventory that now offers that option and the mix of your domestic hotel bookings that are coming via Pay As You Stay now.
Jeffery Boyd: Sure. So the Pay As You Stay for everybody on the phone is typically the Booking.com inventory that has been integrated and is now offered via the Priceline website. Booking.com has been building its hotel supply in the United States over the last couple of years primarily for European customers that are traveling inbound. But we felt it was a good opportunity to provide a little more diversity to the inventory, some more buying choices for priceline.com customers. That project has worked well. A couple of comments that I would make, first of all, Booking.com still has a ways to go to have a full complement of hotels across all the markets in the United States. The team has done a great job of building inventory quickly, but it's a very, very large market and there's still a ways to go. So I think there still is more opportunity and potential to the project. I'm not going to break out what the percentage is. All I will say is, that the program is successful. It's driving a number of reservations that's significant to the U.S. business. And we think it's additive and that our customers are voting with their clicks and their wallets to take advantage of the option when it makes sense for them.
Operator: Our next question comes from Angelique Lung [ph] of Deutsche Bank.
Jeetil Patel - Deutsche Bank AG: Actually, Jeetil Patel. Question around just the international business, can you talk about just the rapid growth that you've been seeing and this really nice stuff function over the last year or do you think it's more of a function of higher purchase frequency among consumers that have been more comfortable and familiar with the brand and kind of the operation of the business or do you think it's generally more aggressive stuff and step-up in marketing spend that has driven the fairly robust transaction growth.
Daniel Finnegan: The step up in advertising spend is really coincidental with the growth in the business so we haven't done anything differently in how we approach our advertising spend. We will spend to whatever extent we can because customers are looking to come to come to our website and as long as we're successful in converting them to a booking, and we're making positive ROI on that advertising spend, we're all for as much of it as we can get. The business has been growing because it's mostly new customers coming in to the website and booking in new geographic markets. And then also through continued shift from off-line to online. We've also seen nice trends on repeat business, so people coming back to the site and booking directly. So it's a combination of both. But with growth rates so high, you know that a lot of it is new customers coming to the website.
Jeetil Patel - Deutsche Bank AG: Is that overall kind of repeat business picking up even more so in the past year? Has it been fairly steady state over the last couple of years?
Jeffery Boyd: We don't get into a lot of detail about the repeat business, but I think it's fair to say as the business grows, the absolute number of customers you get through the repeat channel has to grow and substantially to support this kind of growth in the business.
Operator: Our next question comes from Bill Lennon of Monness, Crespi.
Bill Lennon - Inaudible: I have a question about Asian competition as well. We took a look during the quarter at hotel signings in the top 10 leisure travel destination markets in Asia and we're kind of astounded by what we found. And we only have sequentially, we've just start doing this on another year-on-year. But your family of brands look to be up on hotel signings more than 50%. Expedia's family was up about 7%, and the Orbitz and Travelocity were actually down. So my question is, what do you think the competition is? Is the competition going to get hungry and more aggressive in Asia? They seem to be standing still while you are racking up pretty aggressive hotel signings, at least in Q1. So what do you think their response will be?
Jeffery Boyd: I mean, I don't, I can't really comment on your research. I think our competition has been very aggressive in signing up hotels. I don't know if they have as many people on the ground as we do. I don't know if they are pursuing it as effectively as we are. We're not the only group with a couple of brands there. Expedia has got at least 3 brands out there that could be working on hotel signings. So they have outlined that as a very important strategic imperative for them. I'm sure they're working on it very hard. They've certainly got the scale of their worldwide business to get the International chains on board. So we view the market as very, very competitive. We do think our teams at Agoda and Booking.com are doing an outstanding job of building the inventory and that's not just happening in Asia, that's happening around the world.
Operator: Our next question comes from Michael Millman of Millman Associates.
Michael Millman - Millman Research Associates: Following up on one previous question on new customers and such, I was wondering where you rank conversion in terms of your growth. And then secondly, given what looks like a worldwide tightness in retail rental fleets, how you think that's going to affect both your U.S. market for car rental and Jigsaw?
Jeffery Boyd: Why don't I talk a little bit about conversion, Michael, and Dan can talk about the Rental Car Fleets. If your question is how do we think about conversion in terms of being a driver of business growth, we absolutely view it is an important driver of business growth for us. All of our brands spent a lot of time trying to improve conversion on the website. It allows you to market more aggressively, so there's a virtual circle, kind of a concept involved there. So we think it's very important.
Michael Millman - Millman Research Associates: It wasn't so much the importance but I was trying to rank it in terms of the growth against new customers and repeat customers and such.
Jeffery Boyd: I don't think you can tease it apart because ultimately, good conversion improves your ability to get a transaction from all customers, whether they be new or repeat.
Daniel Finnegan: And Michael, in terms of Rental Car Fleets, in the U.S., for our Opaque business, it's been a variable situation. We've had quarters where we have significant challenges in getting access to sufficient discouned inventory. You have other quarters where we have a little more success. Certainly, cases where inventory is tight creates challenges for that business. We look to be having some decent access to inventory for Q2 thus far, but that can change pretty quickly. The crisis in Japan certainly doesn't help the situation and to our TravelJigsaw business, it's one of their key imperatives is to try and make sure they get good access to inventory during peak season. And so even in the best of times, that's challenging and maybe even a tougher challenge for them this year.
Operator: And our final question comes from Justin Post of Bank of America.
Justin Post - BofA Merrill Lynch: We're seeing Booking.com a lot in search activity in the U.S. I don't think it came up a lot on the call, but how is that model doing in the U.S. and how receptive are hotels to the take rates you're offering on the Booking.com platform?
Jeffery Boyd: The hotels are very amenable to the compensation and commission structure that Booking.com is offering here in the United States. I think they also find the ability to control their pricing and availability in Booking.com system to be very attractive and they find the access to customers, not just in the United States, but outside the United States, to be a very important benefit of participation. So we've had very good acceptance from the hotels in terms of signing up with Booking.com. Booking.com absolutely advertises in the United States and in English language Web channels that are broadly available in the United States and it's a great product for U.S. customers and their business with U.S. customers is growing.
Justin Post - BofA Merrill Lynch: Great. Is it growing like you are in Asia or is it a little bit slower to kind of gain traction?
Jeffery Boyd: I'm just not going to comment on the relative growth rates between regions. We look at the United States as a new market for Booking.com and it's got growth rates that we are happy with, but I don't want to get into one region going faster than the other. I guess that's the last question. Thank you all very much for participating in our conference call.
Operator: Thank you, gentlemen. That does conclude the program. You may disconnect your lines at this time. Have a great day.